Operator: Good day and welcome to the First Commonwealth Financial Corporation Fourth Quarter 2011 Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Rich Stimel, Communications Manager. Mr. Stimel, please go ahead sir. 
Rich Stimel: Thank you. As a reminder, a copy of today’s earnings release can be accessed by logging on to fcbanking.com and selecting the Investor Relations link at the top of the page and then selecting News on the left hand side of the page. We’ve also included a slide presentation on our Investor Relations page with supplemental financial information that we’ll reference throughout today’s call.
 With me in the room today are Mike Price, Interim President and CEO of First Commonwealth Financial Corporation; Bob Rout, Executive Vice President and Chief Financial Officer; and Bob Emmerich, Executive Vice President and Chief Credit Officer. After brief comments from management, we’ll open the call to your questions. For that portion of the call, we’ll be joined by Mark Lopushansky, our Chief Treasury Officer.
 Before we begin, I’d like to caution listeners that this conference call will contain forward-looking statements about First Commonwealth, its business, strategies and prospects. Please refer to our forward-looking statements disclaimer on page 2 of the slide presentation for a description of risks and uncertainties that could cause actual results to differ materially from those reflected in forward-looking statements.
 Now, I’d like to turn the call over to Mike Price. 
Michael T. Price: Hey, thanks Rich. Good afternoon and thanks for joining us on today’s call. I’d like to begin by saying that I feel privileged to have worked closely with our former CEO, John Dolan, these last four years. He cares deeply about this company and the employees that he worked alongside throughout a fruitful and dedicated 35-year career. I am honored to be serving as the Interim CEO following John’s retirement and I am genuinely excited about First Commonwealth’s prospects for the future. As Rich mentioned, joining me today are Bob Rout, our CFO, and Bob Emmerich, our Chief Credit Officer, both of whom will be speaking to you in a few minutes.
 Looking back at 2011, we are obviously disappointed in our performance that culminated in a fourth quarter loss of some $0.05 per share and full year earnings of only $0.15 per share. Elevated credit costs coupled with really a lack of loan growth that did not get on track until the fourth quarter tell the story. Besides the $9.5 million markdown of $23 million and three loans held-for-sale, there was some credit - other credit, I would call them cuts and bruises that Bob and Bob will enumerate in just a few minutes. Despite the pain, there are at least 2 encouraging story lines that I’d like to focus on. First, we feel we are getting our arms around credit, criticized and adversely classified loans have fallen significantly over the last year to $292 million and $192 million decreases of 44% and 47% respectively. And now non-performing assets are starting to follow.
 In fact, we have several large NPAs that are nearing resolution, one large $11 million non-performing asset paid off on Friday. We also expect the inflow of problem loans to slow based upon the favorable trends in our level of classified assets. In short, we need to decisively move beyond the credit issues that have clouded our story and created uncertainty over the last several years. Second, despite these credit challenges, First Commonwealth has evolved into an increasingly competitive community bank with both loans and deposits now moving in the right direction.
 New loan volumes have continually risen over the last five quarters culminating in significant fourth quarter loan growth. Our commercial loan production in the last 2 quarters has really been at 2.5-year highs. However, the transaction here is broad-based and the growth that you see is really about 2/3 on the consumer side and about 1/3 on the commercial side.
 Core deposits are also strong. We have linked our retail bank to our corporate bank through a WorkSmart banking program that now accounts for well over 10% of our new checking accounts. Both loans and deposits are also benefiting from our traction in the Marcellus Shale and as you might expect with these signs, consumer and small business household growth has been encouraging. Importantly, and as it relates to competitiveness as well, our objective measures of customer satisfaction and brand are moving in the right direction and have been for the last few years. So, again, we feel like we have solid traction in healing our credit problems and also too becoming increasingly competitive.
 As we look ahead to the remainder of 2012, I would just focus on a few key themes. First, the continued focus on reducing our non-performing assets. Second, thoughtfully managing our strong capital position in a way that ensures stability and growth, but ultimately benefits shareholders as our credit issues recede and our earnings return and strengthen. Third, we need to consistently deliver a superior customer experience and capture business clients and their employees. In the new normal of an increasing regulatory burden and muted economic prospects, winning a business client we feel will be doubly important. Fourth, we need to develop a culture of operating excellence with sharp focus on our net interest margin becoming increasingly efficient in core loan and deposit growth. Our expectations are high and I believe that we have never been better positioned to win and compete in the marketplace.
 With that, I would like to turn the call over to Bob Rout to discuss our fourth quarter results and dig into the important details a little more. Bob? 
Bob Rout: Thank you, Mike, and good afternoon everyone. As Mike just mentioned, our fourth quarter results were dominated by credit issues as we got a little more aggressive trying to pull down non-performing asset numbers. And as Bob Emmerich will be discussing in his upcoming presentation, the impact in non-performing assets were significant, but still not yet where we intend to be.
 I will start off my discussion by saying that we are pleased with the performance in our net interest margin under the shadow of the Federal Reserves’ Operation Twist strategy to reduce long-term rates. The net interest margin contracted slightly by 3 basis points on a link quarter and 8 basis points year-over-year. We had started to get aggressive on deposit rates even before the Fed announced this new strategy, especially on those special, above-market rate pricing exceptions for large depositors that tend to build up in all organizations over time, and also for those single-service CD relationships, where we try to expand the cross-sale relationships or they eventually go elsewhere.
 We believe that we still have some room on the deposit rates both in core and with $634 million of CDs maturing in 2012 have an average rate of 1.29%. DDA and other transactional accounts continue to grow nicely. Some of that growth can be attributed to general depositor apathy or inertia since rates on alternative deposits products are not all that attractive. But real progress has been made expanding and generating new relationships in both the consumer and the corporate cash management lines.
 Loan pricing is stiff for the good deals, but the market widely remains rational. As I mentioned before, we will negotiate price for the right relationship, but not credit structure and as in this quarter’s loan growth indicates, we are winning more than our share in the market. We have been replacing maturities and even slightly adding to the investment portfolio in order to slightly extend the portfolio duration for what it looks like in the extended period of low interest rates. We are also trying to utilize some excess liquidity in the balance sheet until loan growth ramps up consistently. These purchases were primarily mortgage-backed securities. The average duration in the investment portfolio not including our TRUPs is approximately 2.4 years and 3.2 years if you do include that TRUP portfolio.
 We expect this current interest rate environment is going to pressure all banks, net interest margins until after the November Presidential Elections unless something dramatic happens along the way with respect to inflationary pressures or local loan demand. We worked real hard getting the balance sheet and interest rate risk position where it is currently and we believe it’s prudently positioned to respond to any changes in any direction. There is a lot of noise in our non-interest income this quarter and also for the years that includes swap write-downs for a troubled commercial relationship. We also had some gains this year from municipal security sales and equity position in a local bank that was acquired, and equity position in a joint venture and some gains on OREO and non-performing loan cells. Some other noise in non-interest income would include an OREO that is currently generating about $1 million of rental income each quarter.
 Now, that seems like a good thing, but we are also incurring a similar amount for operating costs on that property that gets classified in our non-interest expense. We believe this property is priced appropriately for sale in what is a very tough market for distressed real estate.
 In the recurring core non-interest income items, there is no doubt that revised NSFP regulations and changes in consumer behavior have had a profound effect on this revenue stream for all banks, but we are getting steady growing performance in debit fees as we opened new DDA accounts and as the usage preference by customers expands for this particular payment product. Our WorkSmart program that Mike mentioned earlier that provides special offers to employees of our commercial customers has been extremely affected in this area. And we continue to get some traction in our wealth management, particularly with our ongoing Marcellus Shale and also Women in Business forums that are working very well for us.
 Turning to non-interest expense, again, a lot of restructuring noise in the year and the quarter including OREO write-downs, elevated loan collection costs, and also severance payments. This quarter along those lines, we had $4.5 million of OREO write-downs, the big piece being a $4.2 million evaluation change on a particular property that has been an ongoing lingering problem over several years. We believe the current price on this property is going to expedite a sale.
 Executive severance and CEO search costs of $1.1 million this quarter. Some increases in unfunded commitment reserves of 700,000 and some additional costs in our (bully) split-dollar program for retired executives that were part of some previous acquisitions and we also had some additional costs related to dealer reserves as activity in that particular product line improves.
 All of these unusual issues masked the progress we are making to get more efficient and also getting the right people in the right places reducing full-time equivalent staff by 123 or 8%. This past year represents real progress. But what these raw numbers do not show is the heavy talent investment that we have been making in our lending and wealth management relationship officer staff, particularly in the middle market lending segment, where we are already seeing some nice growth opportunities.
 We always get a lot of questions from the investment community about our capital levels being so significantly higher than peer. We tell them that those capital levels allow us to rationally work through the legacy credit issues. Once we are sure that those issues are clearly in the rearview mirror, then all capital management strategies are on the table including dividends and stock buybacks and we are getting close to that comfort zone.
 We also get a lot of questions about effective tax rates. Hires for the year ending December 31, 2011 was a negative 3% due to level of tax benefits that reduced the company’s tax rate below the 35% statutory rate and coupled with relatively low level of annual pre-tax income. That effective tax rate is expected to stabilize as the company returns to the more normalized earning levels and we are currently projecting in 2012, net effective tax rate to be in the mid 20s.
 So, with that, I will turn over the presentation to Bob Emmerich for a detailed credit discussion. Thank you. 
Bob Emmerich: Thank you, Bob. First Commonwealth showed a marked improvement in asset quality in the fourth quarter of 2011. Total classified loans dropped $88 million in the quarter from $280 million to $192 million or 27% of risk-based capital. This is down from its peak in the first quarter of 2010 when they were 57% of risk-based capital. Non-performing loans declined from 4.07% at 9/30 to 2.76% of total loans at year end. Non-performing assets as a percentage of loans and OREO declined from 4.87% at 9/30 to 3.48% at year end. A large portion of the decline in NPAs came from charge-offs in OREO write-downs. Charge-offs totaled $37 million for the quarter and OREO write-downs were another $4.5 million.
 Let me summarize the charge-offs. The largest relationship the bank has is a real estate developer in Eastern Pennsylvania. We’ve discussed this name previously. The remaining relationship consists primarily of 2 apartment projects and three lot development projects. The aggregate unpaid principle balance of this relationship stands at $49.6 million, down from $63 million at 9/30.
 One of the apartment projects remains on accrual status. The loans to this project are current and the project has a positive cash flow. The second apartment project was overleveraged. In the fourth quarter, the bank did an AB loan split on 2 of the loans for the project and structured 2 A loans that conformed to the bank’s standard underwriting guidelines. The 2 B notes represent the overleveraged portion of the exposure. The 2 B notes were charged off. There is potential for some of this - of the part of those notes to be repaid over time from excess cash flow.
 All of the lot development loans have been made non-accrual. One had a charge-off taken in the third quarter and the balance was moved into OREO in the fourth quarter. The bank elected to take charge-offs on the other 2 lot development loans in the fourth quarter writing them down to the as-is value of the appraisal. Total charge-offs on this relationship in the fourth quarter were $9.7 million. The second large component of the fourth quarter charge-offs were marking to market three non-performing loans that were transferred to held-for-sale.
 As you are aware, the bank’s strategy for resolution of non-performing loans has been to work them out ourselves over time as we felt this provided the best economic outcome for our shareholders. However, the level of NPLs, the management attention they consume, and the potential for future collateral deterioration has made us adjust this strategy. We decided to more actively look at the sale of distressed assets as a resolution. To that end, we moved three loans with a unpaid principle balance of $23 million into held-for-sale taking a charge of $9.5 million to marking to market.
 The other large charge-offs in the fourth quarter included a write-down of $6.6 million on the student housing loan in Eastern Pennsylvania. That write-down included the existing reserve assessment on the property and an additional $1.3 million charge to reflect the receipt of an updated appraisal as the property was being moved to OREO status. A write-down of $3 million on the land acquisition loan in Nevada, that write-down included the existing reserve and an additional $670,000 assessment for an updated appraisal.
 The charge-off of $1.4 million for a Western Pennsylvania manufacturer that had previously filed bankruptcy, this charge was mostly provided for in previous quarters and was taken in the fourth quarter with the approval of the bankruptcy plan. Finally, a $1.2 million write-down on a Western Pennsylvania supplier to the telecommunications industry. The bank’s consumer and business banking losses were $3.2 million, which is inline with our expectations. In addition to the $37 million in charge-offs taken in the fourth quarter, non-performing assets were reduced by a $4.2 million write-down on the food processing plant in Central Pennsylvania. This plant has been in OREO since March of 2009. You will recall that the bank auctioned off the equipment at this plant in September.
 We had the plant reappraised in the fourth quarter without the equipment and the write-down reflects that reappraisal. Aside from the charge-offs and the write-downs, non-performing assets were reduced by the following transactions. A $4.8 million loan classified as the TDR was refinanced by a new loan that included new collateral with additional cash flow. A $5.1 million loan classified as the TDR was paid off from the sale of the office building that secured the loan. First Commonwealth financed this new transaction to a new borrower. In December, the bank sold the land that it had in OREO in West Palm Beach. The proceeds of that sale exceeded the bank’s current carrying balance by $1.3 million.
 In the last earnings call, we said that we had expectation that 2 other non-performing assets would be coming off the books and $11 million loan to a landfill that had been in non-accrual and was then a TDR and an office building in downtown Pittsburgh that was in OREO that was under contract for sale. The sale of the landfill was delayed by permitting issues, but it did close on January 20 and the bank was paid in full. The sale of the office building fell through and the bank has begun to remarket the property.
 Provision expense for the quarter was $25.9 million. The major components of the higher provision were first, the higher loss factors in our ALLL model for our various portfolio segments due to the impact of the fourth quarter charged-offs on our loss history. The additional reserves taken on the loans moved to held-for-sale, this was about $5.5 million in excess of the specific reserves these loans were carrying. And continued collateral deterioration on our legacy problem real state loans, this accounted for about $3.2 million. At year end, the loan loss reserve was $61.2 million or 1.51% of total loans that compares to $72.1 million or 1.81% of total loans at 9/30. Non-performing loan coverage stood at 62% compared to 45% at September 30.
 Specific reserves for the non-performing loans amounted to $13.5 million or just over 12% of the $112 million balance. This may seem like a low coverage ratio. However, it is important to keep in mind that the NPLs have had $66 million in prior charge-offs. The remaining general reserve of $47.7 million represents about 1.21% of the performing portfolio. We feel the level of reserve at year-end is appropriate for the risk in the portfolio. We normally share with you the aggregate exposure on credits that exceed $15 million at year end, that exposure was $402 million or 58% of the bank’s risk-based capital. This is an increase of $21 million of the balance at September 30 when the ratio was 55%.
 During the quarter, we did not remove any borrowers from this list. We did add three names. A $5 million increase to $20 million for Western Pennsylvania manufacturer, a $20 million new exposure for a West Virginia pharmaceutical company, a $5 million increase to $16.8 million for an Ohio natural resource company. The bank remains committed to carefully managing its exposure to larger credits. It must of course balance this risk with prudently supporting the needs of existing customers and taking advantage of good opportunities for new loans.
 In sum, First Commonwealth has been actively addressing the asset quality problems that have hampered the banks the last three years. We believe we are close to the point, where asset quality will be in line with peer banks.
 I will now turn the call back to Mike. 
Michael T. Price: Hey, thank you Bob. With that, we would now like to open the line and answer your questions. 
Operator: Yes sir. We will now begin the question-and-answer session. [Operator Instructions] The first question we have comes from Bob Ramsey of FBR. 
Bob Ramsey: I was wondering if you could tell me what the amount of new non-performing loan inflows was this quarter and then maybe how that compares for the third quarter or recent quarters? 
Michael T. Price: The new non-performing inflow was about $15 million and that included one loan, it was already -- that actually, that is the increase in non-accruals, but that includes a loan that previously listed as a TDR. In terms of the actual new inflow of non-performing, it would be probably more around $10 million in that range, $9 million or $10 million. 
Bob Ramsey: And then how does that compare with recent quarters? 
Bob Emmerich: It’s - the third quarter was unusual. We had a large jump up in non-accruals with the large relationship of the real-estate developer that we talked about. And we had a large increase in June with the one shared national credit that went into non-accrual, but I would say it’s probably - it’s down from what it has been. 
Bob Ramsey: Okay. I guess, that’s really what I was trying to get, are we seeing a slowing of sort of new problem loans and it sounds like we are. 
Bob Emmerich: We are - we look at the migration in and out of to criticize and substandard list and the inflow of problem loans has been getting smaller. 
Bob Ramsey: Okay, great. And I know you all also mentioned in introductory comment sort of thoughts on capital saying that all options are on the table as you all get more comfortable with credit quality and some of these issues may behind you and suggested that we're getting close to that point. Is that -- does that mean you all could be looking at these options in the first half of the year or is it still too early to kind of pinpoint a timeline? 
Bob Rout: No, I think the driving catalyst for that is that we are sure that these actions here that we have done over the just the past quarter are effective. So, yes, that could be the first half, could be the second half. 
Operator: The next question comes from Mike Shafir of Sterne Agee. 
Mike Shafir: I was just wondering, I mean, certainly there is a pretty detailed list here of different charge-offs, but I guess what I am trying to figure out is as you guys are moving things off the balance sheet in terms of selling it and so forth. What’s kind of the average additional haircut that you are having to take from where you originally mark the loans as you bring them over into non-accrual? 
Michael T. Price: Bob Emmerich? 
Bob Emmerich: Well, when we take things into non-accrual, Mike, we would do an impairment analysis and we would look at the appraisal and we would order a new appraisal and we would take them in fairly consistently at whatever the new apprise value would be less cost to sell. When we move things into OREO, we generally take a discount against that and would be taking them in less than the appraised value. 
Mike Shafir: Okay. So, as you are moving the things out of OREO and what’s kind of - I guess, what have you experienced as the additional haircut to that, to actually move it off your balance sheet? 
Michael T. Price: I would say it was a mixed bag. 
Bob Emmerich: It is kind of a mixed bag. 
Michael T. Price: Each one is unique. 
Mike Shafir: Okay. Well, let’s just take for instance some of the stuff that they got moved off the balance sheet this quarter pretty significant decline in NPA as a lot of it was charged off, some of it was sold. On the things that occurred this quarter, what would you say is it another 10% haircut or that kind actually move it versus being held in OREO? 
Bob Emmerich: We are generally dealing with a handful of properties and they all tend to be unique. The one property that we sold out of OREO this quarter was the land in West Palm Beach and we had that written down to $3.9 million and we sold it for a little over $5 million. So that was a gain over where we were carrying at it, I think $1.3 million. And I don’t think we had any other properties, larger properties in OREO that were sold. We have a lot of houses we would repossess or kind of small business properties, but that was the only significant OREO asset. 
Mike Shafir: Okay. And then just as we - as we are moving forward on some of this credit resolution, last quarter you guys outlined several credits that were kind of near some kind of resolution and I think you commented on some of those including the $11 million loan, which was just recently sold, is there anything else that’s kind of in contract or on the horizon that we can expect to see moving out in the first quarter? 
Bob Emmerich: The food processing plant in Central Pennsylvania, where we took the write-down, we do have an offer to purchase that. There would be potential that that could close in the first quarter. 
Mike Shafir: Okay. And then the offer that’s pending, I guess for lack of a better term, is that consistent with where you have the loan currently marked? 
Bob Emmerich: It’s above where we have it marked. 
Mike Shafir: Okay. And then just clearly it seems like the mentality has changed just a little bit in terms of trying to expedite the process on troubled loan disposition. Has there been any attempt -- you guys thought about doing something on a larger scale and speaking to the capital that you guys have, is there a possibility to move things in bulk? 
Bob Emmerich: We have looked at all the assets. When we looked at the three that we moved to held-for-sale, we picked the three that would be the most salable. And we have really only a handful of maybe a dozen other non-performing loans that are over $1 million. And one is the $20 million unsecured loans of the real estate developer that’s under a forbearance agreement. We’ve got another 2 years to run on that. That would not be one we would be looking to sell. The other is the C&I loan to a computer processing company that is a participation and we wouldn’t look to sell that. So, I mean, we have carefully looked at what would be appropriate to sell and we felt these three made the most sense. 
Operator: The next question comes from Damon DelMonte of KBW. 
Damon Del Monte: This is probably best for Bob Rout regarding the securities portfolio. Could you just give us a little perspective as to how as we think about future purchases in the upcoming quarters? 
Bob Rout: Yes. We added some securities on as I mentioned in my comments. We will continue to add, but what’s really going to dictate that of course is the loan growth. We’d much rather put these funds into loans and relationships rather than securities. If we see loan growth begin to stall, you will see us adding to that portfolio. If loan growth continues at the clip that we had here in the fourth quarter, we’ll probably hold where we are at currently. 
Damon Del Monte: Okay. And these purchases in securities are being funded primarily from short-term borrowings, is that correct? 
Bob Rout: I would say the last couple of purchases were yes, the most recent and maturities. 
Damon Del Monte: Okay, great. With respect to the expenses this quarter, you went through a lot of detail, there seems to be a lot - you said a lot of noise, lot of one-time items. From a modeling perspective, if we look at the $48.6 million that was reported this quarter, what would you estimate we would back off on a go-forward basis? 
Bob Rout: Well, I mean, the big piece is $4.5 million write-downs on OREOs. Hopefully, that’s done. We had some special adjustments to the severance accruals. On severance, we had some recruiting costs related to executive search. So, those will be the big ones. 
Damon Del Monte: Okay. So, if we want to quantify that, would we say roughly $5 million or $6 million? 
Bob Rout: Yes, $6 million-plus at least, yes. I’d say closer to $7 million. 
Damon Del Monte: Okay. Okay, that’s helpful. Thank you. And then I guess lastly you mentioned this $402 million or 58% of risk-based capital represent loans that are greater than $15 million and you identified three names that were added this quarter. I caught the last 2 ones, the $20 million one in West Virginia, $16 million one in Ohio, what was the first one again? 
Bob Emmerich: It was an increase of $5 million to $20 million for a Western Pennsylvania manufacturer. 
Damon Del Monte: Western PA, okay. And then do you guys consider West Virginia and Ohio as in-market relationships? 
Michael T. Price: Well, the West Virginia was Morgantown and…. 
Bob Emmerich: We do a fair amount of calling in kind of Northern Ohio and we also do some calling in kind of the Philadelphia, Baltimore corridor as well. 
Michael T. Price: I would say it would be in-market for commercial real estate or investment real estate and also our corporate financed type activities? 
Bob Emmerich: Yes. 
Michael T. Price: Maybe on a small business or middle market business. 
Damon Del Monte: But these are loans that are being sourced by First Commonwealth you are not doing syndicate deals or participations necessarily? 
Bob Emmerich: No, it would be a combination, but it would be probably more syndications than it would be directly sourced. 
Operator: The next question comes from Collyn Gilbert of Stifel, Nicolaus. 
Collyn Gilbert: Just actually a follow-up to that point, so maybe this is sort of ties altogether because it looks as if you are out-of-market purchase syndicated credits were up year-over-year. So, given Bob, what you said, I mean, could we see continued growth in out of state loan participations again? 
Bob Emmerich: We have a - that’s one of the, I guess, legs of the stool. We want to grow our small business and direct lending. We want to grow our student loans. And we are focused on middle market direct lending in Western Pennsylvania. We’ve done a lot of hires on that and we expect that that will start bearing fruit. And we’ve got a syndications portfolio that we would want to manage well and if there is a good opportunity to take advantage of them. 
Collyn Gilbert: What would that be, good opportunity? Just trying to understand the benefits of doing an out of market syndicated portfolio. Where do you see the benefits? 
Bob Emmerich: Well, we have good relationships with a handful of banks, small handful of banks and would participate in club deals with them if they look like they were attractive assets. 
Collyn Gilbert: And do you see that just as an alternative I guess sort of putting it in securities or I mean, can you get good structures credit, I mean, I would think pricing would probably be low, again just trying to understand sort of the overall return on that type of pursuit. 
Michael T. Price: Well, this is Mike. When I think about that portfolio, which is roughly a $0.5 billion of $4 billion, it carries with it a lot of fees and generally pretty rational pricing. And so from time-to-time, we will do a transaction like that and with the trusted partner and those tend to be our highest rated credits. 
Bob Emmerich: And still probably 2/3 of that book is in Western Pennsylvania. 
Michael T. Price: Yes, that actually it’s more than that, about 70% of the names there in the corporate finance are Western PA and we agent 2 credits here in the fourth quarter. 
Operator: The next one comes from the location of Frank Barkocy of Mendon Capital. 
Frank Barkocy: Could you give me a little bit better perspective regarding the NIM for 2012. It looks like you have some room to bring down the cost of funds a bit more, but you are at the same time you've been growing your securities portfolio, which is the lower yielding relative to loans. Are we likely to see a further contraction albeit a modest moderate type of decline? 
Bob Rout: Hi, Frank, Bob Rout here. Couple of parts to your question, yes, we do have more room on the deposit side with 600 plus million of CDs, which are at 129, there is some room there. Still a little bit of room in the core deposits. From time-to-time we ran special rates for our money markets in order to attract DDA balances and some of those will run off as well as they move down to more normal pricings. But I think the real key to stabilizing or keeping that margin stable is going to be dictated by what type of yields we are getting on the loans. So, you are absolutely right, the more funds that we put into the security portfolios, the greater the pressure on the NIM and the more we can put on loan growth, the greater benefit to that. So, rather than give you projections, I will tell you it’s going to our focus to put more loans on the securities. 
Bob Emmerich: The other area, where we had some success is just our mix of our deposits and with our small business in cash management efforts to improve the funding mix to lower cost obviously non-interest bearing and low cost savings. And we feel like we have had good traction there through our retail bank and our business banking efforts. 
Frank Barkocy: Just a follow-up, what drove the loan growth in the fourth quarter and/or do you feel optimistic that trend witness in the quarter can be carried over into 2012? 
Michael T. Price: This is Mike. The growth really stemmed from about 2/3 of the $80-plus million was really on the retail side kind of split between just your basic branch second mortgage, HELOC lending kind of grassroots kind of stuff. Also we had a good quarter in indirect auto and that portfolio has been very clean through the years. In fact, we saw our credit quality on our FICO scores there go up. So, 2/3 of the action was retail. The other 1/3 was corporate banking and it was a good quarter. I don’t know that we can maintain that, but we feel like we can continue to grow it over the course of the next year. 
Operator: The next question have comes from Matt Schultheis of Boenning & Scattergood. 
Matthew Schultheis: Actually most of my questions have been answered, but I do want to ask you with regard to loans that were resolved this year, that had gone south at some point in the past. But loans that were resolved in the 2011, whether through the sale of OREO or a partial repayment and the rest was charged off. What was your loss severity for those overall in aggregate? 
Bob Rout: Boy, I don’t know that I have the figure, a number on that and I'd have to get back to you and there is the severity on the particularly the construction loans and a lot of the investment real estate, the severity has been high. But again, we just probably have to get back to you. I wouldn’t want to give you a number off the top of my head without doing some research on it. 
Michael T. Price: This is Mike. I mean, you look at the loan portfolio and on page 6 of the supplemental deck that $76 million left at construction was above 450 just a couple of years ago and the severity of loss there would be pretty high, but I think on the other stuff it would be markedly different. So, we will get back to you with kind of a blended figure. 
Operator: The next question we have is a follow-up from Bob Ramsey of FBR. 
Bob Ramsey: You all mentioned in your comments that the unallocated reserve is about 1.2% of your performing loan portfolio. Do you have that figure last quarter just as a point of comparison? 
Bob Rout: $0.96. It’s a range between $0.96 and $1.22 over the last maybe 8 or 9 quarters. 
Bob Ramsey: Okay and then I was wondering if you all could also maybe provide some sort of update about the timeline to be expected for the CEO search and I guess maybe when the board will make the final decision on the same internal or external? 
Michael T. Price: Yes, this is Mike. They have engaged Korn/Ferry and expect that to conclude in March-April timeframe. 
Operator: Gentlemen, actually we are showing no further questions at this time. 
Michael T. Price: Well, thank you. We appreciate your questions and please don’t hesitate to call Bob, Bob or I. And we’ll be more than happy with any follow-up. Thank you so much. 
Operator: And we thank you gentlemen for your time. This concludes today’s conference call. We thank you all for attending today’s presentation. At this time, you may disconnect your lines. Thank you.